Operator: Ladies and gentlemen, thank you for standing by. I am [Gaeli], your Chorus Call operator. Welcome, and thank you for joining the Turkcell's conference call and live webcast to present and discuss the Turkcell Third Quarter 2023 Financial Results Conference Call [Operator Instructions].  At this time, I would like to turn the conference over to Ms. Ozlem Yardim, Investor Relations and Corporate Finance Director. Ms. Yardim, you may now proceed.
Ozlem Yardim: Thank you, [Gaeli]. Hello, everyone. Welcome to Turkcell's third quarter 2023 earnings call. I am Ozlem Yardim, and recently appointed as the Head of IR and M&A success. I'm here with the company more than a decade and excited to meet each of you in person in the near future. I'm always here to address your questions and feedbacks. Today, our CEO, Ali Taha Koc; and CFO, Kamil Kalyon, will be delivering a brief presentation covering operational and financial results of third quarter, which will be followed by a Q&A session. Before we begin, I would like to kindly remind you to review our safe harbor statements available at the end of our presentation. Now I am handing the meeting over to Mr. Ali Taha.
Ali Taha Koc: Thank you, Ozlem. Hello, everyone. Thank you for joining us today. I'm honored to have been appointed as the CEO of Turkcell, which pioneered mobile telecommunication technology in Turkiye and remains a flag carrier in the global capital markets. With a strong background in telecommunications, technology and innovation, I have contributed to numerous patents and international projects during my tenure at Intel Corporation. I have also held key positions overseeing the digital transformation of Turkiye. With a wealth of experience in my new role, I am committed to advancing Turkcell's leading position in our nation's digital sovereignty. We will harness our advanced technological capabilities to foster innovation and they create brighter digital vision for all while taking Turkcell to the next level. As we are [celebrating] the centennial of the Republic, I am confident in Turkcell's leadership in technology and innovation will further carry our country to the second century. Turkcell's performance in the third quarter improved the success of this company, which is levered by a robust business model, state-of-art capabilities that enhance customer satisfaction and a team of highly skilled individuals. My initial evaluation of the company has reaffirmed my perception of Turkcell. My primary mission is to bolster Turkcell's position in the telecommunication and technology market. To achieve this, I plan to place a greater emphasis on technological advancements and innovation. To unlock the full potential that lies within the Turkcell capabilities, I aim to achieve sustainable growth and create value for Turkcell shareholders. Let me dive into financials. We delivered a solid set of results in the third quarter. Continuing to outpace inflation, our revenue growth accelerated to 7%, driven by record ARPU growth and a significantly expanding subscriber base. Our EBITDA exceeded TRY11 billion, marking an impressive 89% annual increase. This growth is driven mostly by robust top line performance and reduced energy prices despite increased personnel expenses. Our margin reached 43.5% on a yearly rise of 2.6 percentage points. We delivered a remarkable net profit of TRY5.5 billion, thanks to strong operational performance supported by active risk management As a reminder, we paid the first installment of our donation for the earthquake relief in September. This result enabled us to increase our full year guidance further. Next slide, please. Let's take a closer look at our mobile operational performance. We have concluded a dynamic quarter for the mobile market, leveraging strategic pricing actions and its competitive pressures of grasping summer seasonality. In the third quarter, we made the price adjustment in August, responding to the soaring inflation rates of July. While overall price level across the market escalated, we also observed aggressive promotional campaigns that have shifted the MMP market away from rationality. Our commitment to price adjustments remains intact as we have already adjusted prices by 20% for Q4 in October. Small ARPU sustained its climb, thanks to sequential price adjustments aligned with inflationary pricing policy and bolstered by upsell efforts supported by analytical models. Accordingly, we recorded 87% year-on-year growth. This quarter, we gained a net of 392,000 postpaid and 193,000 prepaid subscribers. This remarkable result was driven by our strategy of focusing on postpaid subscribers and summer season, which had a positive impact on prepaid services. However, increased competition from alternative data solutions and rising acquisition prices impacted the prepaid net addition. The mobile churn rate ticked up to 2%, though remaining at a healthy level despite the aggressive pricing efforts of two competitors. Next slide, please. In the fixed broadband segment, we had a net gain of 48,000 fiber subscribers, thanks to an expanded fiber footprint and increased demand during the back-to-school period. The year's only price action by the incumbent took place in July, which we follow. Thanks to our strategy focused on 12 month contract options, the ratio of those in our fiber portfolio reached 59% in the third quarter. With 88% of our new customers opting for a 12 month contract in September and the removal of 24 month contract options in this quarter, it is fair to expect a higher 12 month contract ratio in the fiber base in upcoming periods. Consequently, price actions will have a more immediate impact on ARPU. Fiber ARPU ramped up by 63% nearly driven by our price adjustments, offsetting efforts to higher tariffs, our focus on 12-month contract options and higher IPTV pricing. It is fair to expect real growth in fiber ARPU will be sustained for the remainder of the year. [Introducing] shorter contract durations and the price adjustment in the fixed segment has led to a slight increase in churn levels annually, we are pleased to register a further 31,000 net additions to our IPTV subscribers, bringing our total customer base to 1.4 million. We provided IPTV to 66% of our fiber subscriber base. Next slide, please. Regarding our strategic focus areas, let's begin with Digital Services and Solutions. The standalone revenues from digital OTT services rose 103% year-on-year. We introduced new price adjustments across most of our digital service portfolio. The standalone paid user base reached 5.8 million, marking a 1 million rate on the previous year. Our TV platform, TV+, expanded its customer base on both OTT and IPTV platforms, thanks to its rich content and the best pricing strategy. It has consistently increased its market share in the pay TV market since the second quarter of 2014, and most recently reached 17.2% despite ongoing price adjustments throughout the year. Lifebox, our cloud storage platform, has seen substantial growth, reaching 2.1 million subscribers, rising 29% on a yearly basis. Our digital business services playing a pivotal role in supporting the digital transformation of enterprises recorded 76% year-on-year growth. We also witnessed strong performance in the promising verticals, particularly in the data center and cloud segment, which accounts for 16% of our DBS revenues and posted solid revenue growth of 152%. This quarter, we had a record level of new contracts exceeding 1,500 contracts. Next slide, please. Our techfin companies once again delivered a strong performance, supporting the group's top line in the quarter. Digital financial services platform Paycell’s revenue rose 112%. The flagship product Pay Later sustained its growth -- robust growth with more than doubling transaction value. Paycell’s division providing solutions across various verticals of the Turkish fintech ecosystem has been expanding its reach. Paycell customers can now execute Borsa Istanbul Stock Exchange transactions through the app via a [CIMB] licensed brokerage house. Furthermore, Paycell offers shopping limits to its customers through Financell in collaboration with Turkey's renowned pioneering e-commerce platform. Financell revenues grew by 104%. The loan book has expanded to TRY5.7 billion and 97% growth, thanks to loan portfolio diversification with new products, such as green loans for solar energy investments offered to enterprise customers. Increasing funding rate has diluted the margins due to the shortage of long term funding liquidity. Complementing our techfin strategy, our digital insurance company Wiyo started operations in July 2023 with loan production insurance. We will be sharing more information about Wiyo, which stands for with you, including KPIs and product development in the coming quarterly reviews. Next slide, please. Now our international subsidiary. Turkcell International revenues, comprising 11% of consolidated revenues, grew by 75% year-on-year in the third quarter. The growth came mainly from the positive impact of currency movements and growth in all subsidiaries. Excluding the currency impact, the segment has grown 30% organically. Lifestyle revenues, which account for 76% of this segment, grew by 26% year-on-year in local currency terms. The rising ARPU and expanding subscriber base underpinned the performance while the impact of war during the same period of last year was the factor curbing the growth. Best recorded 18% organic revenue growth on a yearly basis. And the EBITDA margins reached 46%, marking a substantial 14-point improvement. Lower interconnection expenses were the main driver of this high profitability. In September, we introduced 4.5G services in the Turkish Republic of Northern Cyprus, establishing ourselves as the pioneering provider in the country. Next slide, please. According to GSMA reports, the telecommunication industry consumes 2% to 3% of global power consumption. As operators, energy usage grows daily with increasing data demand, so does our carbon footprint. Furthermore, considering the global energy crisis we experienced last year, we may face even higher energy cost and scarcity. In [Technical Difficulty] we are also actively taking related steps. We are implementing various projects for optimum and efficient energy usage. Furthermore, we utilize 100% renewable energy certificate -- certified sources and intensify focus on our renewable energy investment. As you may recall, Turkcell acquired a wind power plant in Turkiye two years ago, which currently generates 8% of our energy usage. This acquisition marked a great leap towards achieving net zero by 2050. This year, we initiated investments in solar power plant installations to achieve a capacity of 300 megawatts within three years. The first phase with an installed capacity of 54 megawatts will be completed by the end of first half next year. We aim to cover 65% of Turkcell's total energy consumption from our own green energy production by 2026. This call shields us against energy price fluctuations and reinforce our commitment to sustainability. Next slide, please. To conclude my presentation, and here I am pleased to share our updated guidance for 2023. Building on our outstanding performance in the first nine months of this year, we have decided to revise our guidance upwards to align with a more realistic expectation. Accordingly, we raised our revenue growth guidance to around 73%, generating real revenue growth. Our nominal EBITDA expectation is now set around TRY39 billion and we anticipated maintaining an operational CapEx over sales ratio of around 22%. I firmly believe that Turkcell has a scope to deliver a stronger performance over the coming years. We are confident in our ability to create value through advancements in artificial intelligence, innovations and cybersecurity by leveraging our state-of-the-art infrastructure in next generation communication technology. Moreover, we aim to capitalize on the evolving digital habits of our customers with providing our superior digital services.  I will now leave the floor to our CFO, Mr. Kamil Kalyon.
Kamil Kalyon: Thank you very much, Ali Taha. Now let's move on to our financial results. Our group's revenue delivered an incremental revenue of TRY11.3 billion, marking 77% year-on-year growth. The Turkcell Turkiye segment was the main driver of this performance, driven by an expanding subscriber base, strong ARPU growth, thanks to sequential price adjustments and successful upselling efforts. The contribution of the International segment was TRY1.2 billion. The main drivers of this rise were the positive impact of currency movements and our Ukrainian operations performance. Our techfin segment contributed TRY537 million to the top line with the strong performance of Paycell and Financell, which grew 112% and 104% respectively. Next slide, please. Now let's look at our EBITDA performance. In the third quarter, group EBITDA grew 88.9% to TRY11.3 billion due to solid top line performance. The EBITDA margin expanded by 2.6% on a yearly basis in this quarter. The increase in personnel expenses due to the wage price that became effective at the start of the quarter was more than compensated by the decline in the cost of goods. Energy expenses sustained the positive impact on the margin this quarter as well. Please note that the energy market regulatory authority has announced a 20% price increase effective from October 1st, which will have an adverse impact on our Q4 results. Declining NPL rates through 2024 year end will continue to impact profitability in the upcoming periods positively. Next slide, please. Now the net income performance. Group net income surged by TRY3.1 billion, reaching a remarkable TRY5.5 billion on 129% year-on-year growth. Our robust operational performance boosted EBITDA contribution to TRY5.3 billion, resulted in the solid net income. The limited depreciation of the Turkish lira resulted in lower foreign exchange losses in Q3, particularly compared to the previous quarter. The MTM valuation of the derivative portfolio had a positive impact of TRY600 million on the overall net FX loss of TRY670 million. The tax impact of the earthquake donation and the change in the corporate tax rate on deferred tax assets led to a lower tax expense in this quarter. Next slide, please. Let's take a closer look at our CapEx management. The CapEx to sales ratio was 14.6% for the third quarter, which brings the past 12 months figure to 19.4%. Thanks to a front loaded investment in the mobile segment, we primarily concentrated on maintenance CapEx, excluding the earthquake loan. Having made the fiber home base target in the first half, we focused more on monetization in the six segments. These improvements have resulted in the expansion of other segments in the total CapEx breakdown. FX movements were the primary reason for the increase in international CapEx rather than higher organic investment. We expect to see a higher CapEx intensity in the next quarter due to seasonality of the business and new investment areas like data centers and renewable energy. Next slide, please. Now let's turn our attention to the balance sheet. At the end of Q3, our cash position increased by TRY4 billion, supported by FX movements of TRY1.3 billion, while cash generation totaled TRY1.8 billion. Our gross debt increased to TRY83.5 billion, mainly due to TRY2.9 billion currency depreciation and new borrowings of TRY2.4 billion. We ended the quarter with a net debt position of TRY28.1 billion. Thanks to robust EBITDA generation, our net debt decreased to 0.8 times. Our leverage ratio is quite healthy and we are far ahead of our competitors. In addition to the strong cash position, we have committed lines of around EUR175 million equivalent for the upcoming periods. The majority of our cash continues to remain in hard currencies. Excluding FX swaps, 56% of our cash is in US dollars and 13% in euros. Next slide, please. Lastly, let's look into the management of foreign currency risk in Q3. At the end of Q3, our balance sheet had around $1.9 billion equivalent in FX financial liabilities. In addition to the $1.4 billion equivalent FX denominated financial cash, we have a $700 million effective hedging portfolio, the vast majority of which consists of future forward at NDFs. We ended up with a long FX position of $145 million, which is within our neutral FX position definition. This concludes our presentation, and we can now open the line for questions.
Operator: [Operator Instructions] The first question is from the line of [Indiscernible].
Unidentified Analyst: Can you please share some thoughts about what you're planning to do with your upcoming debt maturities? There's quite well ahead like $2 billion between now and 2025, so it would be great to get some color on that.
Kamil Kalyon: We have around $1.4 billion as FX cash in hand as of the third quarter. In addition, we have around $185 million committed long term facilities, as I mentioned in my presentation. And as of Q3, our cash [indiscernible] service our debt until the end of 2024, our FX debt sales for this year is around $150 million, which we deem as manageable. As you mentioned, regarding our 2025 euro bond to sell processes and to create cash reserves to fulfill the bond redemption as evident from our financial statements. Nevertheless, we are diligently exploring a range of competitive evaluation of alternatives for the reissuance of the 2025 euro bond. These alternatives encompass potential solutions, such as launching a fresh bond sukuk offering or securing a bank loan.
Operator: Next question is from the line of [indiscernible] from Ata Invest.
Unidentified Analyst: My first question is about the fiber investments in Turkey. What's the current share of your company in this area, what are your targets for the future? I would like you to elaborate that. And the second question is about the inflation accounting set. What might be the impact of inflation accounting application on your financials starting by the following? If you know that you also announced the inflation adjusted figures, because as you are listed in US. But I would like to understand how it will affect your tax payments or other factors, or any impact on your financials?
Ali Taha Koc: Let me answer the first one, and then I'm going to hand over to my CFO. As part of our CapEx planning this year, we focus more on our core businesses. Compared to the last year, mobile investments will take a bit more share given the disaster related damages. On the fiber front, each year, we maintain a balanced CapEx strategy with a demand driven approach. We have decided to decrease homepass investment to 380,000 due to uncertainties that arise from the current macroeconomic situation and our new monetization strategy on the fiber side. In line with the increased demand, we accelerated our investment and added a total of 1.5 million new homepasses in 2021 and 2022. Accordingly, we now slowed down our investment on that side and have progressed on the monetization phase. However, if a need arises, we can also consider increasing our homepass investments in line with our smart CapEx strategy. Additionally, we have remarkable energy investment plans on the energy side to meet our own electricity demand as well.
Kamil Kalyon: In inflation accounting system, we have revised our 2022 financials as per the IFRS rules and we will be starting the 2023 financials this year regarding the IFRS side. Since we are -- as the CapEx or how can I say, the FX side are a little bit higher, the inflation accounting would affect us a little bit positively in the income side, most probably simultaneously, the tax side might be affected over this issue, but we have some tools regarding the tax side, especially for the deferred tax side and we would not have affected very negatively about this issue from the tax perspective.
Operator: [Operator Instructions] The next question is from the line of Demirak Kayahan with AK Investment.
Kayahan Demirak: I mean I have a question about maybe for the next year. Would it be possible to give any indication about to expect CapEx intensity for the next year, given your expansion plans in the fiber? And also, could we assume that the company will be committed to do inflationary pricing, delivering real growth like this year?
Kamil Kalyon: As we mentioned in our presentation, we had elective investments in the fiber side last three months period and we are at the stage of monetization of these fiber investments in this year. Most probably, this strategy would continue for the next year, especially for 2024. We will make some investments where we need. Regarding the comment to inflation pricing delivering growth, yes, this year, we have a lot of inflationary effects in our sector and in our economy. Therefore, this is a tradition for Turkcell's team. We are doing this inflation pricing very well, more than decades. Therefore, we will continue this inflationary pricing in 2024 also.
Operator: The next question is from the line of Nagy Nora with Erste Group Bank AG.
Nagy Nora: Can you please update us on 5G spectrum allocation in Turkey, what's the update and what's your expectations?
Ali Taha Koc: Well, there is no official timeline for 5G announced by the regulator yet, but the minister of the transportation has announced that 2024 will be a planning for year for the 5G technology. Accordingly, we will be continuing our preparations during 2024. 5G is a vital technology that will facilitate digitization of industries and contribute to the economic development of our country. However, we believe that there are some issues that need to be addressed first for a healthy launch such as the fiber connection of our base stations, 5G capable smartphone penetration and development of locally manufactured equipment. As of 26 July, 2022, we've officially launched commercial 5G in Istanbul Airport with a special regulatory permission that is issued to all operators. Turkcell customers and international roamers with 5G supported phones and 5G subscription can use 5G in Istanbul Airport. We will position Istanbul Airport as a commercial 5G pilot cluster and use it as a base for us to use care creation and R&D on top of our test 5G sites. As to the license cost and rollout of CapEx, it is difficult to give you an estimate as there is no official tender announcement. Analyzing the 5G development in different countries, we see that the high license cost lead to a slower 5G rollout and lower network quality. Additionally, the use cases, especially of 5G, particularly for the consumer segment are not yet clear. 5G will offer value for the digitization of the industry initially. We believe that this will limit operators the ability to generate incremental revenues at first. Therefore, it is of utmost importance that licenses are granted to operators with reasonable fees and conditions. We also believe that deployment should be gradual based on customer demand to prevent excessive cash outflows without any return potential.
Operator: Next question is from the line of Ignebekçili Murat with HSBC.
Murat Ignebekçili: I would like to wish the top management success for their new post. I hope this for you. I would like to ask you a more general question maybe about the strategy. Now what are the key path of this system that you think needs improvement at first glance? And when we look at 2024 and '25, what are the key points where there is potential for improvement in performance that will also reflect in the financial performance over the next couple of years? This is a more broader question maybe but I just want to hear about your thoughts on this.
Kamil Kalyon: I'm committed to advancing Turkcell's leading position in our nation's digital sovereignty, while sustaining and bolstering the company's position in the telecommunication market. I am planning to emphasize innovation and technological development to unlock the full potential that lies within the Turkcell while creating, of course, value for our shareholders. There are several trends in the telecommunication industry that we care of that have the potential to significantly affect the future of our sector, such as especially artificial intelligence, cybersecurity and digitalization. At Turkcell, we will direct our efforts towards these phones by utilizing our company's state-of-the-art infrastructure and know how and human capital.
Operator: [Operator Instructions] The next question is from the line of [Indiscernible] with Ata Invest.
Unidentified Analyst: My question is, again, about strategic focus area. As we see in your financials, around 15% of your revenue is coming from cost focused strategy area along digital, digital business and techfin business. Do you have any targets on that side, because over the last several years, we see that around 50% of the consolidated revenues. Should we expect some jump in the future, maybe over the next three, four years? Do you have any just numerical targets on that?
Kamil Kalyon: As you know, our strategy or our focus areas are growing. We are the leader in the telecommunication sector but we have determined some growth areas for our group, especially this DSS side and the finance side -- techfin side, fintech side is significant instruments of this growth area. Therefore, especially in the Paycell side, we continue our growth more than 100% growth rate, as you can see in our financials regarding the techfin side. Most probably, we will be continuing this performance until next year. We also have targeted our digital services, especially we are trying to increase our direct sales from the DSS side to the more efficient and the more, how can I say, extended subscriber base and we will continue to perform this performance in 2024.
Operator: [Operator Instructions] The next question is from the line of Demirak Kayahan with AK Investment.
Kayahan Demirak: I mean, as a follow-up on the strategic priorities since the new management in place. Our tech monetization was -- I mean, you can put a topic for the Turkcell over the next -- past few years, but there has been little progress on that front. The things I used to remember, the company was looking for a strategic partnership in the fintech business on potential IP in this power business and the fixed broadband business. And the IPO process has been started, I think, like previous years, but there hasn't been any progress on that front very well. So what do you think about the asset monetization for last year? And also maybe I might add disposal of the selling the international businesses, also was a part of the agenda, I mean what's your reason or issues?
Ali Taha Koc: We are continuously evaluating our portfolio and we are open to strategic actions that has the potential to create value for our shareholders. Frankly speaking, our international operations can be the closest candidates for a potential divestment. While these operations contribute to our top line, they are not among our strategic priorities. If we see interest with good valuation, we might evaluate our options always. As you know, [indiscernible] is a multibillion dollar world asset. We currently do not think that the current market conditions are supportive for such a sizable IPO. Last December, our Board decided to start preparation to take global power to public as there was a Board resolution. It had to be announced. The Board resolution said the company will be listed when relevant conditions are favorable. As IPO preparation take time between six to nine months, we decided to have the Board approve it in advance and we're ready for a potential IPO in the following quarters.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Turkcell management for any closing comments. Thank you.
Kamil Kalyon: Thank you very much for joining this call. We hope to see you in next quarter. Thank you very much for sparing your valuable time.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling and have a pleasant evening.